Operator: Hello and welcome to the Camden Property Trust Fourth Quarter Earnings Call. All participants will be in a listen-only mode. (Operator Instructions). Now I would like to turn the conference over to Mrs. Kim Callahan, Vice President of Investor Relations.
Kim Callahan: Good morning and thank you for joining Camden's fourth quarter 2007 earnings conference call. Before we begin our prepared remarks I would like to advice everyone that we will be making forward-looking statements based on our current expectations and beliefs. These statements are not guarantees of future performance and involve risks and uncertainties that could cause actual results to differ materially from expectations. Further information about these risks can be found in our filings with the SEC and we encourage you to review them. As a reminder, Camden's complete fourth quarter 2007 earnings release is available in the Investor Relations section of our website at camdenliving.com, and it includes reconciliations to non-GAAP financial measures, which may be discussed on this call. Joining me today are Rick Campo, Camden's Chairman and Chief Executive Officer; Keith Oden, President and Chief Operating Officer; and Dennis Steen, Chief Financial Officer. At this time, I will turn the call over to Rick Campo.
Rick Campo: Thank, Kim. Good morning. We started 2008 with an award-winning team, great platform, and a strong balance sheet in complicated and uncertain markets. Here is how we see 2008 unfolding. On one hand, the fundamentals of our business are reasonably good. Demographics are strong for the growing echo boom population and continued positive immigration trends. New multi-family supply is manageable based on my conversations with the largest U.S. developers at the recent National Multi Housing Council Annual Meeting. Starts are predicted to fall 25 to 30% this year setting 2008 up for the lowest year for multi-family starts in 10 or 15 years. Multi-family affordability is the best it has been since 2000. Single family home purchases are down significantly with tighter credit standards and it will take time to change the negative sentiment towards home ownership. Home ownership rates have drop to 150 basis points since peak, creating more than 1.5 million in rentals, while some economist think the rate could drop another 200 basis points before it's over. On the other hand, job growth continues to slow in 2007 509,000 jobs were created in our market. With 2008 projected to decline about 50% to 265,000 jobs created, but the real wild card here is that the shadow of supply of single-family homes and what effect they will have on multi-family demand, the answer to that question will unfold during 2008. Our business plan for 2008 is based on same store net operating income of 2.25% to 3.25%. We'll be a net seller of assets this year, and during the last seven months we’ve acquired 4.3 million shares of Camden stock totaling $230 million. Our Board has authorized an additional 250 million of stock buybacks. We believe there is a significant discount between the public and private value of multi-family assets and will continue to take advantage of the arbitrage opportunities as long as it lasts. We continue to create significant value in our development business with expected yields of 7% in the completed and under construction projects. Our 2008 will be the peak year in our development pipeline ramp up following in the Summit merger. The 2008 FFO includes $13 million to $15 million of development dilution, an increase of approximately $7 million over 2007. The tradeoff between the value creation from development and negative effect of lower short term FFO is a price we are paying in long run for the value creation on the development side. We filed an 8-K last night, announcing the first closing of the Camden value added fund. The fund will be our exclusive acquisition vehicle; it will also contribute select developments to the fund as well. We expect the fund to ultimately acquire and/or develop $1 billion in properties. The fund is an excellent structure to expand our joint venture business which allows us to leverage our platform and higher returns on invested equity. Camden will own 20% of the fund. I will turn the call over to Keith Oden now, for an update on our markets.
Keith Oden: Thanks, Rick. As with past years, I will given my annual preview of the market conditions for 2008 in our largest market. Beginning with our top rated markets, I will give our view of current market condition, expressed as a letter grade, and also provide our view of the outlook for each market through year end 2008, as improving, stable or declining. Second, I will provide some additional details of same property guidance for 2008. Starting with the overview of the Camden's market conditions, Denver has made a tremendous turnaround year-over-year, moving from the bottom of last years list to ending 2007 as one of Camden's top performers. We rate current conditions as an A with a stable outlook. Job growth is expected to decline slightly, but a tight housing market will be driver in this market throughout 2008. The premium of buying versus renting absorption levels and population growth will also improve performance. Occupancy levels are anticipated to remain at or above 95% for the full year, which will keep this market as a top performer for rent growth. In Austin, we rate current condition as an A, with a stable outlook. As with the rest of the nation, employment growth is expected to slow, however Austin still anticipates adding more than 23,000 new jobs in 2008. Population growth due to an expanding student base, domestic migration and immigration will increase the demand for housing. Forecasts show 2008 to be another year of rising home prices, therefore widening the spread between renting and buying. In addition, the lack of new supply will foster another solid year of rental rate increases and good NOI growth. In Dallas, we rate current conditions as an A-minus, with an improving outlook. Dallas experienced an economic rebound in 2007 that is projected to hold over through 2008. Employment growth is forecasted to remain above the national average, adding an additional 37,000 new jobs to the market. Demand is expected to exceed deliveries, keeping occupancy levels high and rent growth strong. Camden anticipates Dallas to be a top performance in 2008, which will enhance our NOI growth. We rate Houston's market conditions as an A-minus, with a stable outlook. This market has experienced remarkable growth as result of the booming energy sector. While $100 barrel oil is bad for the national economy, it is a very good thing for Houston. Continued employment and population gains will create sufficient demand, to absorb new supply coming online in 2008. While Camden has a number of new development communities in this market, most of them are inside a 6-10 loop, which is an area in high demand among young professionals who choose to live near work and entertainment. When occupancy reaches capacity inside the loop, another sought after sub-market is the West Chase or Energy Corridor, where Camden also has a large supply of apartment homes. These factors will sustain Houston as a strong market for same property and align rent growth in 2008. In Raleigh, we rate current condition as a B-plus with a stable outlook. Employment growth is expected to increase by 1% or roughly 8,000 jobs in 2008, with most of the growth coming from highly compensated sectors such as research and technology. ING Research recently announced plans to quadruple its presence, adding 1100 jobs to the area. In addition to local job growth, net migration is forecasted to increase 14%, assisting with demand for rental housing. Absorption has been steady and it's forecasted to match new supplies throughout 2008. Rising home prices, solid job growth, and a balance supply versus demand fundamentals will lead to another solid year. In Charlotte, we rate conditions as a B with a stable outlook. The fundamentals of this market remains solid, healthy employment growth across all sectors, increasing home prices and sizeable population increases have added an average of 20, 000 people per year to Charlotte's metro area. However, pressure will be put on occupancy levels as a large amount of new suppliers anticipated to come on line in 2008. Occupancy should hold steady at 95%, but with less rent growth than in prior years. We rate Atlanta's current conditions as a B with a stable outlook. Even with softening economic conditions this market remains healthy and projections show that overall employment levels are strong with growth expected in nearly all sectors throughout 2008. INVESCO recently announced that it will relocate its headquarters from London to Atlanta. High occupancy rates and a limited number of completions compared to demand with allow rental rate increases across this market and keep Atlanta as one of Camden's top performers in 2008 for NOI growth. In the Washington DC metro area, we rate the current conditions as a B with a stable outlook. Historically election years have been positive for the housing industry in Washington DC. While employment growth is anticipated to drop from 2007 levels, conditions still look favorable with approximately 30, 000 new jobs being created this year. In addition, the opening of National Harbor, a mixed-use project that includes five new hotels, will generate thousand of jobs. High housing costs and restrictive single-family lending practices will benefit multi-family operators in 2008. Completions will track absorption for 2008 and the combination of all these factors will assist Camden achieving modest rent growth and a forecasted market wide occupancy rate of 95%. Next in Orange County, we rate current conditions as a B-minus with a stable outlook. The subprime fall out certainly impacted this market last year and forecast show employment will actually shrink by approximately 7000 jobs in 2008. Single-family housing affordability and uncertainty in the housing market will push some potential buyers to remain rentals during 2008, population levels will also help the rental market as one in 100 Americans now call Orange County home. These dynamics will allow for moderate growth in rents and NOI. In San Diego, we rate current conditions as a B minus with a stable outlook, our conditions have deteriorated slightly in this market and continued job growth, high housing cost and little new supply will prove positive in '08. Most of the employment growth will come in the leisure and hospitality sectors, aiding rental demand. Occupancy levels have remained steady in this market, and our San Diego communities are forecasting a 1% increase in occupancy during 2008. In Las Vegas, we rate current conditions as a B-minus for the declining outlook. For the first time in seven years Vegas may experience negative employment growth in 2008. This market has been a shining star for many years, but will feel effects of fewer new jobs and a glut of single family rentals. Beyond 2008, continued population growth, growth in new supply and increased tourism terrific will allow for a resumption in strong performance. The leisure and hospitality sector will be the saving grace for Las Vegas as casinos and new hotels come online in late 2008 and 2009. The usual hotel staff to room ratio is 3:1 and typically these individuals have a propensity to rent. NOI should remain slightly positive in 2008. We rate south Florida's current conditions as a B-minus with a stable outlook. This market had the largest excess supply of condominiums in 2007 and the effects of forecast to linger throughout 2008. However, the lack of new apartments coming online will alleviate some of the excess supply. Employment growth is expected to be about the same as 2007, a lack of affordable housing will keep many residents in the area renters, which will b well for Camden's NOI growth and allow for moderate rental increases. In Phoenix, we rate current conditions as a B-minus with a declining outlook. Sub-market conditions in Phoenix were very diverse last year, and submarkets that were top performers in '06 ended the year at the bottom of the pack in 2007. Conditions are predicted to be volatile again, making this market a little uncertain for the first half of 2008. However, job growth is forecasted to decline by 2% or about 30,000 jobs. Multifamily properties will be challenged by the housing correction that is occurring in the market, due to a record number of foreclosures, excess inventory of single family homes and condos. The decline in multifamily completions with continued population and employment growth will allow for very moderate NOI growth in 2008. Tampa we rate current conditions as a C, with a stable outlook. Tourism is expected to boost job growth in the leisure and hospitality sectors in '08, adding almost 15,000 new jobs before the year. Companies with communities centrally located such as Camden will fair better than the suburban areas this year. Occupancy levels are expected to increase, which will be the main driver behind a very modest NOI growth. Lastly, in Orlando, we rate current condition as a C, with a stable outlook. While job growth is projected to add approximately 22,000 new jobs, the excess supply of single family and condominium inventories will keep rent growth to a minimum in this market. Population growth from domestic migration will be largest demand driver to the region. Given these obstacles during 2008, Camden expects NOI growth in Orlando to be flat. In comparing our 2008 outlook to our 2007 outlook, the following statistics are worth noting. If you compare market-by-market to 2007, 11 markets have lower rating than they did in 2007, three are higher and one was flat. And if you take the weighted average letter grade for the portfolio for 2008 versus 2007, it moved down roughly one full letter grade from the A-minus, B-plus range into the B to B-minus range. The outlook condition for the portfolio moved, from slightly improving in 2007 to a stable outlook in 2008. These changes are consistent with our NOI growth forecast for 2008 of 2.75%versus last year's original guidance of 6.5% growth. A few great comments on 2007 fourth quarter results. With 11 of our 15 markets receiving lower rating than in 2007, it's not surprising that our fourth quarter sequential revenues were down in most of our markets. In every market, except San Diego, our average occupancy fell from the third quarter, while overall rental rates were relatively flat. For the fourth quarter, our portfolio averaged 93.6% occupied, which is 30 basis points less than our 10 year average for fourth quarter occupancy of 93.9%. The decline from third quarter occupancy of 90 basis points is 35 basis points more than the 10 year average decline between the quarters of 55 basis points due to seasonality. Rental rate increases will be very modest in the first half of 2008, as we move our occupancy rates back into the 95% range. Overall, our traffic for 2007 was down 8% from the prior year and the fourth quarter was down 3% versus the prior year. Our largest decline in traffic year-over-year occurred in Phoenix down 18%; Orlando down 16%; Las Vegas down 15%; and Tampa down 12%. It's no coincidence that these markets have been the hardest hit by the fallout from the subprime meltdown, clearly a significant  percentage of our multifamily prospects or finding housing alternatives mostly likely in single family rentals. Consistent with our expectations, the percentage of moveouts to purchase homes fell to 15% for the quarter, down from 17% in the third quarter and one of the lowest numbers we have ever reported. Turning to our NOI guidance for 2008, we have provided you with revenue and expense estimates in two ways. One includes the other income from our cable TV trash collection, and utility billing amounts in both revenue and expenses as we are required to report them in our financial statement. Based on this methodology, our revenue should increase by 3.5% to 4.5% expenses would be up 5.5 to 6.75%. From comparability to our peers, we have also provided revenue and expense growth excluding those other income items. Using this methodology we expect revenue growth to be 2% to 3%, expenses will grow 2.5% to 3.75%. In either case our projected same-property NOI growth for 2008 is 2.25 to 3.25 or 2.75 at the midpoint. Our long-term average annual same store NOI growth rate in the multifamily is 3% to 4%. We closed out 2007 with same store NOI growth of just over 5%. So from a historical perspective, that would normally be a really good year. But it sure didn’t feel like it as we missed our original guidance of 6.5% increase. Our 2008 forecast 2.75% same store growth is below the long-term trend by roughly 1%. But again, because of an uncertain outlook for the broad housing market, feels worse than that. Our market should continue to outperform the national picture in population and employment growth, even though the jobs picture will likely be much softer than last year. Combined with favorable demographics and reduction in new housing completions for both single and multifamily in 2008; the elements for above trend performance beyond 2008 looks promising. Finally in a year, where good news was hard to come by at Camden, we recently received two extraordinary pieces of good news. First for the third straight year Camden Property Trust was name as one of the best places to work in Texas with our highest ranking yet at number seven. Second, Camden was named to Fortune Magazines List of the 100 Best Companies to work for with the ranking of number 50. This recognition is the gold standard of company awards for employee satisfaction and maintaining a great workplace. The award was made possible by our 1800 employees, who passionately share our commitment to making Camden a great place to work. We strongly feel that Camden's inclusion on the list has much broader implications. We are the first REIT ever to make the list and just as the once, who was the first REIT to be included in the S&P 500, there are undoubtedly will be others from among the excellent companies in the REIT sector. We believe this recognition is the next important step in the direction of investors viewing our company and other REITs as great franchises not just collections of great assets. This distinction is all too often overlooked by a myopic focused on the net asset value of REITs. We offer special thank you to Camden's employees, who made this next step possible. Now, I'll turn the call over to Dennis Steen, our Chief Financial Officer.
Dennis Steen: Thanks, Keith. I'll start my comments this morning with a review of our fourth quarter results. Camden reported FFO for the fourth quarter $57.1 million or $0.94 per diluted share slightly higher than the midpoint of our guidance range of $0.91 to $0.96 per share and $0.01 above the first call mean estimates. The slightly better than expected performance is primarily due to property net operating income exceeding our forecast by $1.7 million and un-forecasted land sale gains of approximately $700,000. These two were partially offset by a $1.4 million impairment loss on lands. The $1.7 million favorable variance in property NOI is the result of our favorable variance of $3.2 million in property expenses in the fourth quarter due to a 1.6 million decline in real estate tax expense from the prior quarter primarily due to lower than expected 2007 tax rates in our Florida and Texas markets. With the remaining 1.6 million favorable variance in property expenses, primarily due to lower than anticipated property and casualty losses, employee benefit cost and incentive compensation. The favorable variances in property expenses were partially offset by a $1.5 million shortfall in property revenues due to the slightly lower than anticipated occupancy rates in our stabilized portfolio. Total non-property income and total other expenses were generally in line with our expectations for the quarter. On the transaction front during the fourth quarter, we sold seven of the nine operating assets held for sale resulted in a gain on the sale of discontinued operations of $75.3 million during the quarter. This brings our year-to-date disposition volume to approximately 3,000 units generating a $170 million in proceeds. We have exited our Midwest and Greensboro markets and continue to reduce our portfolio of 20 plus year old assets. The average cap rate on our 2007 dispositions was 6.1% using 2007 annualized NOI and actual CapEx per unit of $630. Of the two remaining assets held for sale, Camden Ridgeview in Austin, Texas is currently under contract and expected to close in the first quarter of 2008 and Camden Pinnacle in Denver Colorado is still being marketed with an expected sale in the second quarter of. Additionally during the quarter, we sold undeveloped land in the Brickell area of Downtown Miami, generating proceeds of $6.1 million resulted in a gain of approximately $700,000 on the sales. Our development pipeline is continuing to progress nicely. In the fourth quarter, we completed construction at Camden Monument Place in Fairfax, Virginia and Camden City Centre in Houston, Texas, which was 72% and 58% leased respectively. Additionally, during the fourth quarter, we began construction at Camden Amber Oaks, a 348 unit, $40 million development in Austin, Texas. For the four completed communities in lease up and the seven communities under construction as detailed on Page 16 of our supplemental package; total projected costs are slightly below budgeted amounts and in aggregate, they have a combined deals in line with our original expectations. [When] on them I would like to note regarding our future development pipeline. During the fourth quarter, we decided not to go forward with the development of a third phase at our Farmers Market development in downtown Valley. In conjunction with our decision, we recorded an impairment charge of $1.4 million to write-down previously recorded carrying costs related to the development of a third phase. Our balance sheet metrics continued to be strong. During the quarter, we use proceeds from asset sales and our $500 million five year unsecured term loans to reduce balances outstanding under our unsecured line of credit and to fund our share repurchase activity. At year end, we had approximately $470 million available under our $600 million line of credit. We are very manageable debt maturities over the next several years with approximately $200 million in scheduled payments in both 2008 and 2009. Our 2008 maturities consist entirely of maturing mortgage debt with a $176 million of the maturities occurring in the fourth quarter. With ample liquidity, we do not currently forecast tapping the capital markets in 2008. Our coverage ratios also remained strong. Our full year 2007 interest expense covered ratio and total fixed charge ratio of 3.0 times and 2.2 times EBITDA respectively are well in line for our investment grade ratings. Moving on to 2008 guidance, we expect 2008 projected FFO per diluted share to be in the range of $3.60 to $3.80. Please refer to Page 25 of our fourth quarter supplemental package for details on the key assumptions driving our 2008 financial outlook. Keith has previously walked you through the growth rate assumptions for the 43,000 units in our same store portfolio. For the 3500 units in our repositioning portfolio redevelopment activities will be substantially complete by the second quarter of 2008 and we are projecting 2008 NOI growth of 8.5% to 9% for this portfolio of assets. We are projecting between a 175 million and 380 million of operating asset dispositions as we continue to recycle older assets to fund our development pipelines and share repurchase activities. Non-property income net which includes fee and asset management income, net of expenses and interest in other income is expected to be between $10 and $14 million in 2008 in line with the 2007 total of 12.5 million. As higher fee income related to joint venture activities is being offset by lower interest income on our mezzanine loan portfolio. Although, we are anticipating sales of land on process currently held for sale, we have not included any potential gains in our 2008 guidance. G&A and property management expenses are expected to total between $50 and $54 million, which at the midpoint represents a 2% growth rate over 2007 actuals. For the first quarter of 2008, we expected projected FFO per diluted share within the range of $0.87 to $0.91, with a midpoint of $0.89 per share, representing a $0.05 per share from the fourth quarter of 2007. This $0.05 per share decline is primarily the result of the following items. First, lower first quarter same store net operating income of approximately $1 million or $0.02 per share. The decline in same store NOI results from the modest increase in sequential revenues, which are more than offset by higher operating expenses resulting primarily from the fourth quarter favorable variances and real estate taxes, property and casualty loses and employee benefit cost which I mentioned earlier. Secondly; we will incur additional dilution in the first quarter of 2008 from our development pipeline of $1.6 million or $0.03 per share. This is due to the significant number of units completed during the fourth quarter and units to be completed in the first quarter of 2008 at communities under lease-up in both our on balance sheet and joint venture pipelines. As a reminder, we begin to expense all operating and interest cost related to completed units regardless of lease status. Please refer to pages 16 and 17 of our supplemental package for the construction of lease-up status for properties in our pipelines. Also of note in reconciling FFO per share from the fourth quarter of 2007 to the first quarter of 2008, the reduced share count benefit for shares we repurchased during the fourth quarter and thus far in 2008 equates to approximately $0.04 per share in FFO. This benefit is entirely offset by increased interest expense and loss NOI from operating asset sales, as we funded our repurchases with assets sales and incremental borrowings. At this time, I would like to open the call up to questions.
Operator: (Operator Instructions) Our first question comes from Mark Biffert at Goldman Sachs.
Mark Biffert: Hey guys, question for you on the fund. When you look at your acquisition volume that you've projected for '08 as well as the development, will all 800 million if you take the top end of the range come or be a part of that joint venture or that fund that you set up?
Rick Campo: If you look at page 25, I believe it shows what we have balance sheet and joint venture, and you can see from an acquisition perspective, we have zero budgeted for 100% owned or on balance sheet. So, the $200 million to $400 million is definitely in the joint venture category, and then on development, we show between a $100 million and $500 million in total. And we are likely to have a couple of developments on balance sheet but not many. Fundamentally the fund and our joint ventures are set up to leverage our return on capital, and today it makes a lot of more sense we think to buy stock as opposed to invest directly into acquisitions or development.
Mark Biffert: Okay. And then looking at your dispositions for the year, you have $1 billion investment cap on the fund, would you move any existing assets that you own into that as well?
Rick Campo: No, not likely. Typically what we are projecting to do is just sell assets, improve the quality of the portfolio over the long-term as opposed to doing joint ventures at this point.
Mark Biffert: Okay, and then looking at the assets that you sold during the quarter, what was the cap rate on those assets specifically?
Dennis Steen: Specific in the quarter or year-to-date?
Mark Biffert: On the quarter, you gave the year-to-date, I think its 6.1, I was just curious because these were sold sort after the credit issues and I'm just wondering how much they may have moved out since the prior year once, early in the year once?
Dennis Steen: I don't have the specific number, it actually moved down just briefly. But if you would like to, after the call, we can provide you the break-out between the three assets that we have acquired through this last portfolio sale. Generally speaking though, we got pretty much what we expected and I don't think they were significantly negatively impacted by the credit markets really. We found that when we looked at cap rates overall, we are in the sort of nominal cap rates or probably somewhere in 5.9 up to maybe 7 and some change perhaps. And then we looked after 650 in CapEx and this is on 2007 annualized number, so sort of backward looking cap rates, they are below six.
Mark Biffert: That's great. Looking at, and I guess going to operations, looking at the occupancy dip in the quarter, I mean looking at yield start, typically you guys say, it's going to be focused more around at 95% occupancy. Did you guys just decide to come off it to maintain rents where they were or what was the reason behind the occupancy dip?
Keith Oden: Yield start is calibrated till they get to 95% and also there is a trade off between what you have to do on current rents in order to get that occupancy. With the premium on, certainly there is a heavy cost that it puts on the vacancy, but it also looks at what you would have to do on your existing rent. But again historically if you look at our portfolio over the last 10 years, we ended fourth quarter '07 within 30 basis points or what our 10 year average is on occupancy. We do have seasonality in our portfolio, probably more so than most of our peers do, and from a historical perspective it wasn't a big change. Looking at the change quarter-to-quarter, third to fourth, we were down 90 basis points, but again the historical seasonality would have implied 55 basis points down. So we are 35% basis points worse quarter-to-quarter than our 10 year average, and clearly that is a result of weakening market conditions in our markets where we've got the biggest supply issues from single-family housing.
Mark Biffert: So where do you, where were you able to get the cost savings on your expense side, I mean you saw significant decreases across your entire portfolio. Previously Rick you had talked about that there were some programs you guys were running that you let your staff run, but you thought that you would ultimately cut back if markets got worse. Is that what happened?
Rick Campo: Ultimately as I mentioned earlier the actual decreases in costs for the fourth quarter were primarily due to final adjustments of tax rates in Florida and in Texas, and some reserve adjustments for insurance, both property casualty and employee benefit.
Mark Biffert: Okay.
Rick Campo: Which declined from third to fourth.
Mark Biffert: Alright, great. Thanks.
Operator: Our next question comes from Steve Kim at Credit Suisse.
Steven Kim: Hi this is Steven Kim. Another question regarding your markets, how divergent are the operations in terms of your A market and your B market?
Keith Oden: I am sorry. Can you repeat the question, it was breaking up.
Steven Kim: What is the divergent in rental growth between your A market and your B market?
Keith Oden: If you are asking in terms of the spread on projection for rental growth next year.
Steven Kim: Right, that's right.
Keith Oden: Yeah, the high end of the rental growth in our models would be in the 4% range, the low end would be flat, so you got a pretty good distribution between 4 at the top end and dead flat in Orlando.
Steven Kim: Got you. And in strength of your development pipeline, how have you been kind of meeting the pro forma projections.
Rick Campo: We have, as a matter of fact, the last sort of 4 or 5 that have come in that we closed out last year, we actually came in better than original pro forma both on cost and on total returns. The portfolio that has just been completed and is in lease-up and that is under construction. With sort of softening of the construction market over all and the construction cost increases slowing, we feel pretty good about our cost side of our equation on all those projects. The ones in lease-up now are doing fine from a lease-up perspective. We have seen a little bit of slowness in terms of velocity of leasing, but it hasn’t been significant enough to make us worry about not [hitting] our targets.
Steven Kim: So the slow leasing in Old Creek and Royal Oaks is not that significant
Rick Campo: Royal Oaks is an age restricted property and we've talked about it a couple of times on the calls and even though we are in good shape on our total returns, it has been a slower at lease-up because age restricted customers very - the sale cycle or closing cycle is a lot longer than your typical pharma projects. So while we believe that our returns going to be really good there, it's just taking longer to lease it up. Old Creek, you had some significant sort of challenges there. We were one canyon away from the big fire in Southern California. We had to evacuate the project a number of times, during this past year because of those issues. And so, that clearly had an impact on leasing up. People can't even stay there and your office can't be opened, it's hard to lease it. So, we had a little bit of slowness, as a result of that.
Steven Kim: All right. Thanks and congrats on the work.
Keith Oden: Pardon me.
Steven Kim: Congratulations on the work and for you guys.
Keith Oden: Well thanks
Dennis Steen: Thank you.
Keith Oden: Absolutely.
Operator: Our next question comes from Christine O'Connor, Morgan Stanely.
Christine O'Connor: Hi, good morning. If you guys have any way of quantify the amount of competition you are seeing from single family homes, are you tracking the number of people that move out to rentals, is there anyway of just to get an idea of how much suppliers out there, that's competing directly with your apartments?
Dennis Steen: Yeah. I'm going to give you two answers; the first is on your second question on moveouts to rentals. We do track that and we did have an increase over the prior quarter. In the third quarter, we're at about 1% and that jumped up to about 2% in the fourth quarter. So, if we do track it, roughly 1% of that we can attribute now. That its not clear that we are still capturing when someone says, I'm leaving, why are you leaving, I'm going to a home -- to a house, it's just not clear to me that we've got a great way of determining is that to rent the house or to own even though our folks are now asking that questions directly, but we had some impact from that. The other impact, the only by extrapolation, I think you can get a little bit of a sense in the markets, where we know we've a significant issue with homes that are unsold and trying to find some kind of a place in the occupied housing market. It's going to be rentals to a large extent and if the five markets that we've the most impact, we also saw the biggest decrease in traffic year-over-year. So sort of by extrapolation to, if people are looking at rental homes as an option before they show up at one of our communities and that's going to show up in decreased traffic. So, I think that by extrapolation, you can say that the markets that I mentioned where we had decreased traffic that is by and large, probably attributable to more competition from single family homes. But I got to tell you there is the data on single family homes the aggregated data is very hard to come by. And we've a lot of anecdotal evidence. We've a lot of conservations with our regional and on site staffs. But at the end of the day, the best we can do is sort to extrapolate that we are seeing an impact because those are the markets, where we are having the biggest decline in traffic year-over-year.
Keith Oden: [Let's] put out some numbers that talk about 1 million excess housing units, 750,000 homes and 250,000 condos and a lot of people think about the condos are the problem and it's not really the condos. The 250,000 excess condos in America is very small supply and the demographics really support people downsizing and baby boomers getting older and that kind of thing for condos So, and ultimately, if you sort of look at that number, the million excess units then they are going to be located clearly in the markets that [everybody] talks about. The interesting thing about that is one of the bigger issues, I think, is when do people start buying homes and when do you start working down the supply, the two components of new supply coming to the markets is definitely selling dramatically with homebuilders slashing the production dramatically. And then the second part is going to be when people start buying and until you have sort of a homeowner psychology that's where there is a tipping point, where they think that it's time to buy and the home prices aren't going to fall anymore. That's when you start seeing some of the effects of supply go out. When you look at the total numbers in the global scheme of America they are not that huge and they can be worked off over probably a twelve to eighteen month timeframe without much trouble. The question is when do you start working them off?
Christine O'Connor: Right.
Keith Oden: That's a psychological issue that I think have to be dealt within the next year or so.
Christine O'Connor: Okay, that's very helpful. Thank you.
Keith Oden: Thank you.
Dennis Steen: Thank you.
Operator: The next question comes from Jonathan Litt at Citigroup.
Craig Melcher: Hi, it's Craig Melcher here with Jon. The 2.4% same store revenue growth, does that include the cable in there?
Dennis Steen: That does not include cable.
Craig Melcher: Okay.
Dennis Steen: That is the net number. If you include the cable numbers it ends up in the 4% range.
Craig Melcher: Okay. So, looking, if you would.
Keith Oden: Craig, that's not just cable. That's cable plus Valet Waste plus the pickup and billing of our utility or water rebilling. It's all three that we are netting out when we give you the two sets of guidance.
Craig Melcher: Okay. So, with the 2.4, that compares to the guidance of the 2% to 3% revenue growth ex the cable and the other Keith just mentioned.
Dennis Steen: That is correct, right.
Craig Melcher: And so basically assuming things do not get, the condition we see now say similar as we go in to '08. But it just seems like the gap of the markets spread does that kind of -- do you expect it to narrow like you expect the Florida's to not get be quite as bad and from your stronger markets the growth to come down in terms of the divergence in the markets this year versus in '07?
Rick Campo: Well the divergence is pretty mark when you break it down in to the markets that are kind of on everybody's radar screen and certainly ours from the impact of single family homes. If you stratify our portfolio and you take, I’m going to take the five markets that everybody is most concerned about and that we've concerns about from the single family home perspective it would be Las Vegas, Phoenix, Orlando, Southeast Florida and Tampa. Just to put that in perspective Craig that represents about 36% of our NOI from those five markets. If you take our projected net effective rent growth in those markets that math works out to about 1%. So, yeah 36% projecting a 1% and then the balance of the portfolio and its distributed above that up to a top of Denver of roughly 4. But the divergence it's pretty clear in terms of our projection for '08 versus those markets that we know that have the bigger issues with single family supply. I think the other thing you've to look at too is that we are projecting these markets to be worse in 2008 than they were in 2007 and just taking example of Tampa in 2007 we had 2.6% rent growth, 1.5% expense growth for a total 3.4% same store NOI growth. What's going to happen this year is we're basically projecting it flat. So, what that means is that it's definitely not as good as '08 and it's definitely or as '07 and there is a divergence from the markets like Houston and Dallas and Austin and the markets that don't have the same kind of problems.
Craig Melcher: Okay. And on repurchase activities for this year, do you assume any additional activity in your guidance ranges?
Dennis Steen: We do not, the fundamental question of asset sales and buyback activity it's hard to project. The key is going to be if we depending on what the stock does and what we can sell assets forward are lead to be flat, creative or dilutive and I think most likely to be flat to accretive. But it's hard to project that kind of situation. I don't and we thought it was imprudent to try to improved guidance that related to things that we don't really have a lot of control over stock. It goes up dramatically, we won't have the opportunity to make the arbitrage and it's hard to pick that.
Craig Melcher: But if you at the midpoint of your disposition guidance and based on your development spending. Would you have any capital to do buybacks and then you mentioned you won't kind of go back to the capital market?
Dennis Steen: Yes, absolutely.
Craig Melcher: Thank you.
Operator: Our next question comes from Alex Goldfarb, UBS.
Alex Goldfarb: Good morning.
Dennis Steen: Good morning.
Keith Oden: Good morning, Alex.
Alex Goldfarb: Just want to follow-up on the buying back of stock. I realized that it's not in your guidance, but is there any sense that while there is still a spread between where your stocks trading, what the assets are worth. And while there is still capital for people to finance departments that you are probably maybe inclined to get more aggressive, sell more earlier buyback stock more earlier as long as that arbitrage exists today?
Dennis Steen: Yes.
Alex Goldfarb: Or you comfortable sort of going over the year with your regular game plans?
Dennis Steen: I think the answer to your first question, is yes. We are going to continue to be aggressive acquirers of the stock, as we sell assets. So, that's why we've a broad range of asset sales in the guidance and if we exceed that, if the market continues to be favorable both from an asset sales perspective and a weak stock price, where, we can say the arbitrage, we will continue to do that aggressively.
Alex Goldfarb: And what are the implications, how many assets can you sell before having to deal with tax gains, and then also dealing with the rating agency concerns and then as far as, will you keep the balance sheet neutral or you may look to increase leverage?
Rick Campo: We've always said in our buyback strategy that we would do it, leverage neutral and publish neutral, and we think it's important to do it that way as opposed to leverage up the company and put us in a position where we have to go raise capital or something. So for sure it's a leverage neutral type of transaction. So, the answer to the question of how can we sell from a gaining perspective? That number is around $300 million plus or minus, that depends on the assets that are sold and the gains related to those assets and what have you bet. But we don't look at that as a cap, because we would clearly look at, if the arbitrage made sense, we would clearly look at special dividends to expand that program.
Alex Goldfarb: Okay. And that's 300 million gross or 300 million of gains?
Rick Campo: Gross.
Alex Goldfarb: Okay. Next question is on the guidance. First of all have you factored in and maybe you said the MD&A and I missed it, but have you factored in a recession into your guidance range? And then also, if you can just go back over the sort of step up from the first quarter to the rest of the year for FFO, and then whether or not there is any impairments for any like [med]-loans and then how that tax insurance through-ups that you mentioned in the fourth quarter how those work out?
Rick Campo: Just in terms of the guidance we have not tried to include a recession scenario in here. Our numbers are predicated on 265,000 job growth in our markets, which is substantially less than last year. It's about half of what '07 was and it's about a third of what '06 was. So it's clearly very weak growth in those markets, but not a recession scenario. There has been a fair amount of discussion about what a recession would look like now and would it be worst than the last recession or the 2001 recession or the early 90's recession. I think it would be interesting to sort of talk about three different major factors that are different in terms of where we were in 2000 and 2001 versus where we are now. First, from a supply perspective, just pure multifamily supply, we are about 25% less supply coming to the market than we were in 2000, leading in to that recession. Second, housing affordability leading or multifamily affordability leading in to the 2001 recession was at its lowest level in about seven or eight years. Today we are at the highest affordability level in the last seven or eight year's. And then second the, obviously third the obvious issue in the last recession was we lost a lot of people to homes, I don't think that's going to happen this time around other than maybe rental homes, but clearly not buying homes. So, I think a fair number of people in the industry think that even in a recession scenario, it's not a very difficult time for multifamily because rental alternatives make a lot of sense in a recession scenario this time around. Dennis, you want to go through the.
Dennis Steen: Yeah I think I had a couple of your questions. First of all on impairment charges, no we do not anticipate any impairment charges for the balance of the year, as it relates to your progression across the quarters. I think what you will see is an increase in revenue scenario from the first sect to the second and third, and then it's always kind of moderating in the fourth. And on the expense side, you will just see slight increases in expenses, first to second and second to third as we normally have increases in operating expenses during those two quarters, and then trailing off in the fourth quarter as we normally do. Also as far as development dilution, the development dilution we have forecasted in the first quarter is going to probably be the highest quarter for the year, and it will tailing off toward the end of the year as we start to lease-up at a number of our large communities. I hope we've answered you questions, if you have anything more specific that you'd like me to address I will.
Alex Goldfarb: No, no, no, that's fine. Thank you.
Operator: Our next question comes from Lou Taylor, Deutsche Banc.
Lou Taylor: Thanks. Rick, sorry to come back to you on the share repurchase [program] just a little bit differently. In terms of your dispositions this year, how much do you need to set aside to repay debt versus buying back stock, or fund development?
Rick Campo: To do that on a leverage neutral basis, basically you sell $2 for the real estate, pay down $1 worth of debt, and buyback $1 worth of stock. In this scenario here we probably have when you take out development funding, which is about $150 million to $200 million. We would have probably $100 million plus or minus. If we hit the high end of our guidance here in terms of dispositions, to expand that we will have to increase dispositions.
Lou Taylor: Okay, and if you were to theoretically expand dispositions, how far could you go before you would get into special dividend constraints?
Rick Campo: Well we have a total of $300 million, we could do this year, okay. So if on that math if we had a $100 million after the 350 we would have to do a special dividend after the $300 million of disposition. So, that would sort of give us a $100 million to buy stock plus or minus and then we'd have to do a special dividend of some sort.
Lou Taylor: Okay. And then for Keith, in terms of the development leasing, I know you'd mentioned earlier it was going generally okay. But just, maybe to get some specific on a Camden Royal Oaks in Austin. The project's been done for a while, yet the leasing is still sub 80%. Is that leasing [going] by pace or is there anything unusual about that pace?
Keith Oden: Yes, it's definitely slower than what one of our typical garden apartments would be and it really has to do with the demographic, that’s a 55 and older community Lou. And the experience of trying to close that particular demographic is kind of interesting. It turns into many times five, six property tours with children and parents and brothers and sisters, and just a very long sales cycle. At the end of the day, we're getting rents that are better than what we'd originally forecast, the lease-up is definitely taking longer, but on all in yield basis, we're in really good shape.
Lou Taylor: Great. Thank you.
Keith Oden: You bet.
Operator: Our next question comes from Rich Anderson of BMO Capital Markets.
Rich Anderson: Hi, everybody, good afternoon, good morning. Keith have you ever rated market D or F?
Keith Oden: Ever is a long time, I think I actually had a D, three years ago. I don’t think I've ever had it now. We exit F markets that's why we don’t have them. I am not sure, what an F market would probably be, down 15% NOI forecast for the year and fortunately we've never had to deal with that. I suspect that in other propriety types, you might get into an F from time-to-time, but multifamily is pretty tough to do that. And the year when we had total portfolio decline of 5% NOI which is kind of, its [bad, a year as we've seen in the last 20, there probably would have been two or three D markets in that crowd.
Rich Anderson: Okay. Clearly you guys are a great organization and congratulations on the ranking again, that's here. But I do have a sort of a cynical question about that, is there any sort of benefit that you have of getting in there one year and then sort of, having an advantage getting ranked, the second, third and subsequent years, sort of like, if you win the Gold Glove in baseball you sort of almost certainly get it the next year unless you really screw up?
Keith Oden: First of all, Rich, you don't have to apologize for cynical questions or you'd have to get out of the business. But the answer is, because two-thirds of the score is based on a random survey of 400 of your employees that go out and get send directly to the organization that does all the scoring. Once you get to a point, where your internal surveys qualify you, which is that you're in pretty rarified air up there with the Microsofts and the Googles of the world, once you get into that or your surveys are that high, relative to all the other competitors, that gets back too as long as you continue to do what you did in the first place in terms of taking care of your people and your workplace. There is certainly an expectation that our surveys in '08 will look a lot our surveys in '07 did. The wildcard which is the one-third of the score that comes from all other components, benefits, diversity and a whole host of other very interesting qualitative factors that they look at. Once you have achieved a score on those that combine with your survey kind of get you in. There is an expectation that unless something dramatic changes within your workplace you would be in next year. So, this is our second year that we applied. It's a very detailed kind of process that you've to go through in the first year that we applied we did not get in. But you don't know where you finished, they don't tell you. You only find out if you've made the list. And we went from off the list to number 50 this year, primarily on the strength of our survey results. Our survey results were extraordinary compared to the other hundred companies that won this year.
Rich Anderson: I thought this was your third year. I guess I got that mixed.
Keith Oden: Well, it's third in Texas. We were in the best top 50 in Texas for three years. But it’s the first year for a Fortune Magazine on a national basis.
Rich Anderson: Very well, congratulations to that. And then the last question is you mentioned you miss you same store number, your guidance at the beginning of 2007. You started off with 6.5 and you got 5. What is it you think about this year does that same type of miss won't happen this time around. Why do you feel like that you've got that covered?
Dennis Steen: Well, the interesting thing is Rich is that the miss if you think about last -- if you remember go back last year to this conference call we had and there was about a three month period where the only thing that, let's say the primary thing people were focused on as a risk to our numbers was condomania and we talked about that in length. And we thought that we had factored in what impact that was going to be. But at the same time, we always said that we thought that was going to be a very minor part of the story in '07 from the standpoint of performance and not only in our portfolio, but everybody else's. We just never believed that would be a headline number some at the end of the year 2007 But clearly the subprime melt down, which didn't happen even began happening or get on to anybody's radar screen until May June of '07 ended up being hugely more impeccable to our portfolio than the condominium issue otherwise. And I don't think that's any different in '08. I just don't, in South Florida there is still probably a lot of discussion about condos because there is so much being build down there. But the nature of that product and the price point is such that I still don't see it being a big issue in our portfolio. But the single family, the single family component and the difficulty of getting your arms around what that competition is where it comes from and when it goes away, I think that's certainly a risk to anyone's forecast that operates in the markets that have significant exposure. What gives me a little bit better feeling about our numbers going forward primarily is that we've very modest rental income growth in those markets across those five markets. Our net effective rent growth for '08 and our plan is about 1% could it be worse than that. I suppose it can, but it also maybe a little bit better than that. I think it's a kind of coin toss in those five markets to see whether it's better or worse than the 1%. The rest of our markets, I think they'll perform in line with what everybody else has seen with our peers where they had exposure there. And I think what gives me a little bit more comfort is that we've had two months of dealing, two quarters are really straight up dealing with this single family overhang and I think that the current trend is that if job growth stays in place is that the problem will get less bad as '08 goes on. So, I think that it's possible that we are passed the worst of it. We certainly been dealing with it for two quarters in these markets and I think we've got a little better handle on it. That’s the way too long of an answer to that question. But that’s kind of my view right now.
Rich Anderson: Sounds good, thank you.
Dennis Steen: You bet.
Operator: Our next question comes from Paula Poskon from Robert Baird.
Paula Poskon: Good afternoon. Can you comment a little bit on the trends that you might be seeing for reasons for moveouts other than the home ownership things like, are you seeing any changes for job lost or job transfer?
Keith Oden: In the fourth quarter, our moveouts rate was dead flat with the fourth quarter of '06. So, year-over-year we saw no change at all in the turn overrate for I mean, quarter-over-quarter. So, I think we're back to kind of a more normal situation on our turn rate, '07 turnover was clearly higher than '06. And there is not other than the home purchases, there wasn’t anything that stood out that would be meaningful. It was just the difference in home purchases and clearly we're seeing a complete reversal of that trend and it will be interesting to see how that plays out over '08. We had I think I mentioned in my comments, we're at 15% moveouts to home purchases in the quarter and that's a historically low number for us.
Paula Poskon: Thanks. And just one last question, what's happening at Potomac Yard. Are you seeing a lot of the traffic there, what's the response from the people kind of coming in?
Dennis Steen: The response has been good. The initial sort of startup of the project was a little difficult because we had all of our amenities on the top floor, our pool, our club houses and clubhouse and gym. And because of the way the building was completed, we couldn’t get access to that early. And then we sort of had some issues with signage or the neighborhood and the city didn’t want us to put a forward lease, kind of big sign on the building. We've got that dealt with and its had a very good traffic since we've finished the [many] components and have got a little bit better signage.
Paula Poskon: Thanks very much.
Rick Campo: Sure
Operator: Our last question comes from Michael Salinsky at RBC Capital Markets
Michael Salinsky: Hi, Good morning guys, quick question with the fee income you are projecting for 2008, as it relates to the fund. Can you kind of let us out or kind of provide a description of how that plays out on a quarterly basis?
Rick Campo: I am sorry I missed the first part of the question.
Michael Salinsky: In terms of your fee income interest assuming in 2008, can you provide us a detail of how that plays out on a quarterly basis just because of the timing of the fund there?
Keith Oden: Yeah I think our fee income related to joint venture activities this year will be about $4 million, and it's going to be pretty evenly weighted between all four quarters. We'll have some in each of the quarters and which should [average] about $1 million dollars.
Michael Salinsky: There is no financing fee even with that that comes in it at one time during any other quarters?
Keith Oden: There are some fees that are all lumpy but they actually average out to about $1 million a quarter.
Michael Salinsky: Okay. And then can you touch on the January performance of some of the markets that are concerning, you mentioned may be, Phoenix, Tampa, Orlando and/or Las Vegas?
Keith Oden: January results were a little bit better, slightly better than our plan across the board, but a big part of that was, it looked like we had a little bit better month on expenses than we forecast, so nothing so far in the quarter that would be alarming. Our current occupancy rate is 90 -- on the last report it was 93.7, which was about a 40 basis point move up over the prior week. So I think we are headed in the right direction and we're on track with the plan that we laid out.
Michael Salinsky: Thanks guys
Keith Oden: You bet
Operator: Our last question comes from Haendel St. Juste from Green Street Advisors
Haendel St. Juste: Good morning, guys
Rick Campo: Good morning Haendel St. Juste - Green Street Advisors Most of my questions have been asked and answered. But I had two small ones here. The land that you have helped for sale on your, at your balance sheet what do you estimate the market value for that in [sterling].
Keith Oden: We have not included gains on sales in our guidance on those. We do expect that the market value is probably $4 million to $5 million higher than that. Okay. Haendel St. Juste - Green Street Advisors And the two assets, the one in Denver and Austin?
Keith Oden: The two assets that we have held for sale? Haendel St. Juste - Green Street Advisors Yeah.
Dennis Steen: Operating assets.
Keith Oden: Operating assets.
Dennis Steen: Yeah. The two assets we have [Reggio] and [Pinnacle].
Rick Campo: Right now as you can see on Page 25 our disposition volume is between $25 million and $30 million. Haendel St. Juste - Green Street Advisors So that probably [explains].
Keith Oden: That would be, what we expect to get from any of the proceeds on those sales. Haendel St. Juste - Green Street Advisors And just one quick follow-up to that. You mentioned, I guess Keith in your outlook for the year that Austin and Denver are at the top of your expected performance list. Why sell those assets in those markets?
Keith Oden: A great time to be selling those assets. Those markets have a great story and they are both the average age of those two assets is 22 years. So it's perfect timing. Haendel St. Juste - Green Street Advisors Got you. Okay, thank you.
Keith Oden: Thank you.
Rick Campo: Great. Well we appreciate your time and we will talk to you on the next call. Thanks.
Operator: Thank you for attending today's conference. The presentation has ended. You may now disconnect.